Operator: Good day, everyone, and welcome to the Global Partners Third Quarter 2024 Financial Results Conference Call. Today's call is being recorded. [Operator Instructions]. With us from Global Partners are President and Chief Executive Officer, Mr. Eric Slifka; Chief Financial Officer, Mr. Gregory Hanson; Chief Operating Officer, Mr. Mark Romaine; and Chief Legal Officer and Secretary, Mr. Sean Geary. At this time, I would like to turn the call over to Mr. Geary for opening remarks. Please go ahead, sir.
Sean Geary: Good morning, everyone. Thank you for joining us. Today's call will include forward-looking statements within the meaning of federal securities laws, including projections and expectations concerning the future financial and operational performance of Global Partners. No assurances can be given that these projections will be attained or that these expectations will be met. Our assumptions and future performance are subject to a wide range of business risks, uncertainties and factors, which could cause actual results to differ materially as described in our filings with the Securities and Exchange Commission. Global Partners undertakes no obligation to revise or update any forward-looking statements. Now, it’s my pleasure to turn the call over to our President and Chief Executive Officer, Eric Slifka.
Eric Slifka: Good morning, everyone, and thank you for joining us on today's earnings call. At Global Partners, our commitment to providing essential infrastructure and products that communities depend on is rooted in a long history of service, especially in times of recovery and rebuilding. Before we review our earnings results, I want to take a moment to commend the exceptional work of our team at our terminal in Tampa during Hurricane Helene and Milton. Their dedication to quickly restoring operations ensures that fuel and critical resources were available to support the community's recovery. This is more than business; it's our role in empowering strength and resilience across the regions we proudly serve. Turning to our results. We delivered year-over-year gains across each of our key financial metrics, demonstrating our ability to execute on our strategy to acquire, invest in, and optimize assets that drive returns. In our Gasoline Distribution and Station Operations segment, our retail assets are exceeding expectations. In our Wholesale and Commercial segment, supply market dynamics enabled us to capitalize on favorable conditions in the quarter. Our integrated business model provides the potential to enhance our market leadership and long-term growth. We are continuing to integrate the 29 liquid energy terminals acquired over the past 11 months from Motiva Enterprises and Gulf Oil. The terminals offer a platform for new strategic projects that align with our long-term goals, expanding product offerings, enhancing our operational efficiency and market reach. We're excited about the opportunity to unlock the full value of these assets; these assets bring to our network. Last week, we completed the acquisition of a 730-acre liquid energy terminal in East Providence, Rhode Island from the ExxonMobil Oil Corporation. The terminal, which serves as a strategic hub for storing products, including gasoline, additives, distillates, renewable fuels features 10 product tanks with a total shell capacity of 959,000 barrels and deepwater dock access. Additional non-fuel use acreage allows for the potential further diversification of our real estate portfolio. In our retail business, we are one of three companies selected to work alongside the Massachusetts Department of Transportation to deploy MassDOT 63 million allocation of the national electric vehicle infrastructure program, or NEVI over the next five years. This is a unique opportunity for Global to accelerate our own plans to install DC fast EV charging stations at strategic retail locations across our network and to provide a safe, reliable and enjoyable charging experience to the EV customers. We are finalizing the list of our first tranche of sites to be included for development, and we are proud to partner with MassDOT on this important initiative to increase the number of reliable DC fast-charging locations in the Commonwealth. Turning to our distribution. In October, the Board declared a quarterly cash distribution on our common units of $0.73 or $2.92 on an annualized basis. This distribution represents a 6.6% increase over the prior year and is payable on November 14 to unitholders of record as of the close of business on November 8. Let me turn the call over to Greg for his financial review. Greg?
Gregory Hanson: Thanks, Eric, and good morning, everyone. As we review the numbers, please note that unless otherwise noted, all comparisons will be with the third quarter of 2023. Adjusted EBITDA was $114 million in the third quarter of 2024 compared with $77.7 million and net income was $45.9 million, compared with $26.8 million in the previous year. Distributable cash flow was $71.1 million in the third quarter of 2024, compared with $42.2 million and adjusted DCF was $71.6 million compared with $43.3 million. Our last 12-month distribution coverage as of September 30 was 1.97x or 1.87x after factoring in distributions to our preferred unitholders. Turning to our segment details. GDSO product margin increased $31.2 million in the quarter to $237.7 million. Product margin from gasoline distribution increased $32.1 million to $164.1 million, primarily reflecting higher fuel margins year-over-year. On a cents per gallon basis, fuel margins increased $0.09 to $0.40 in Q3 2024 from $0.31 in Q3 2023. Station Operations product margin, which includes convenience store and prepared food sales, sundries and rental income decreased $0.9 million to $73.6 million in the third quarter of 2024 in part due to the divestiture and conversions of certain company-operated sites. At quarter end, our portfolio of fueling stations and C-store sites totaled 1,589. In addition, we operate 64 sites under our Spring Partners Retail joint venture. Looking at the Wholesale segment, third quarter 2024 product margin increased $33.9 million to $71.1 million. Product margin from gasoline and gasoline blend stocks increased $22.6 million to $43 million, primarily due to the acquisition of Motiva terminals into more favorable market conditions. Our product margin also benefited from the acquisition of the Gulf terminals in April. Product margin from distillates and other oils increased $11.3 million to $28.1 million, primarily due to more favorable market conditions in distillates and residual oil. Commercial segment product margin increased $1.1 million to $9.5 million, in part due to more favorable market conditions and bunkering. Turning to expenses. Our operating expenses increased $21.2 million to $137.1 million in the third quarter, largely related to the terminal acquisitions from Motiva and Gulf. SG&A expense increased $7 million in Q3 2024 to $70.5 million, primarily due to increases in long-term incentive compensation, wages and benefits and other expenses. Interest expense increased $14 million to $35.1 million in the third quarter of 2024, primarily due to interest expense related to the 8.25% senior notes issued this past January, which were used to facilitate the Motiva acquisition and higher average balances on our credit facility as a result of the recent Gulf Terminal acquisition. CapEx from the third quarter was $24.3 million, consisting of $11.2 million of maintenance CapEx and $13.1 million of expansion CapEx, primarily related to investments in our gasoline station and term loan businesses. For the full year of 2024, we currently expect maintenance CapEx in the range of $50 million to $60 million. Based on our anticipated projects at the end of the year related to investments in our gasoline stations and terminals, we are revising our planned expansion CapEx for 2024 to a range of $40 million to $50 million from our previous expectation of $60 million to $70 million. These current estimates depend in part on the timing of project completion, availability of equipment and workforce, weather and unanticipated events or opportunities requiring additional maintenance or investments. Our balance sheet remains strong at September 30, excuse me, with leverage as defined in our credit agreement, as funded debt-to-EBITDA at 3.27x, and we have ample excess capacity in our credit facilities. As of September 30, we have $219.2 million borrowings outstanding on our working capital revolver and $177 million outstanding on our revolving credit facility. Turning to our upcoming Investor Relations calendar. In the coming weeks, we'll be participating in the TD Securities Energy Conference, the BofA Leveraged Finance Conference and the Wells Fargo Midstream and Energy Utility Symposium. Please contact our Investor Relations team if you'd like to schedule a meeting during the conference. Now, let me turn the call back to Eric for closing comments.
Eric Slifka: Thank you, Greg. I want to express my thanks to the entire Global team for your hard work and commitment to driving our success. We look forward to continuing this momentum and pursuing further opportunities for growth in the quarters ahead. With that, Mark, Greg and I will be happy to take your questions. Operator, please open the line for Q&A.
Operator: Thank you. We'll now be conducting a question-and-answer session. [Operator Instructions]. Thank you. Our first question comes from the line of Selman Akyol with Stifel. Please proceed with your question.
Selman Akyol: Thank you. Good morning. Congrats on a nice quarter. Let me just start at the top. Any impact from the elections at all that you guys are anticipating?
Eric Slifka: I mean, we've got to see how everything plays out. I mean we have a very durable business, scaled business with long-term commitments in many parts of it. And so whatever may come our way, I think we're in a solid position to continue to execute.
Selman Akyol: Got it. And then you alluded to this in your comments in most recent terminal acquisition, but 730 acres off a large footprint. What do you plan on doing with all those acres?
Eric Slifka: I think there's opportunity there, right? And I'm not saying that we're doing anything tomorrow with it, but I think the bottom line is we bought a great asset, it's got great access of good deepwater dock. It's got good tankage and good racks and then there's some land there, too. And if there's other opportunities, we're going to do our donors take advantage of those opportunities for real estate as well.
Selman Akyol: Got it. Maybe you could talk a little bit about the outlook for acquisitions, whether it's terminals or GDSO?
Eric Slifka: Yes. I mean it's been busy, right, continues to be busy. We're very selective. Valuations are still relatively high, but we've got to find the right deals that fit the company that we think we can make accretive to Global, and we're going to try to maintain that discipline and deliver on those returns.
Selman Akyol: Got it. And then just along those lines, thinking about your partnership down in Houston, I guess, it's been fairly static since you've done it. Is there any update there? Is it anything to talk about in terms of is it just a more competitive market than you thought? Just any comments in around that?
Eric Slifka: Yes. I mean we haven't added that long. I would say that we continue to tweak and drive value and make sure that we're organized down there in the most efficient way. I think is a positive outlook on that partnership, and we're really looking to see if we can do more in that market.
Selman Akyol: Got it. And then last one for me. You talked about EV chargers and you're trying to finalize your first tranche. But I guess, can you talk about maybe a number of EV chargers you could see across your system? Anything from a high level?
Eric Slifka: Yes. I mean, in terms -- it's not huge scale, but we're going to try to be financially disciplined around what we do to limit the risk, and so making sure that we're partnering with government to try and build out a network in places that are desirable for our customers is really important, but making sure that we do it in a disciplined way is really critical, right? It's still early innings in that business, and we want to make sure that, that we really keep a lid on any risk that we may have as we develop the network out.
Selman Akyol: Got it. And I lied, I did have one more. So on your CPG, you showed a very nice increase year-over-year. Anything to say in there, how durable that is anything we should be thinking about just moving higher?
Gregory Hanson: Selman, I'll give my two senses, it's Greg, and then Mark can weigh into it. I mean I think we saw some good volatility over the summer. If you look at our wholesale RBOB prices were down $0.57 from 6/30 to 9/30 period. So it had some opportunity for us to glean some margin from the difference in the wholesale prices versus the Street and the movement of those prices. I think what others have said and what we continue to believe too is that the market has changed from a consolidation standpoint, it continues to consolidate, although it's highly fragmented still, it continues to consolidate, and you've got higher breakeven costs that smaller scale operators need to have on the fuel margins, and that's the biggest lever for them to pull. So I think they'll -- volatility is typically good for our fuel margins. So less volatility, you could see it creeping down and tightness again. I do think structurally, you're going to have higher fuel margins. I don't know what level those are going to be yet, and we're not betting on them for our business. But I think we do have seen favorable margins over the last couple of years.
Operator: Thank you. We have reached the end of the question-and-answer session. I'd now like to turn the floor back over to Mr. Slifka for closing comments.
Eric Slifka: Thank you for joining us this morning. We look forward to keeping you updated on our progress, and I hope everybody has a wonderful Thanksgiving. Thanks, everyone.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.